Operator: Good day, and thank you for standing by. Welcome to the Third Quarter 2024 EnerSys Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the call over to Lisa Hartman, Vice President of Investor Relations.
Lisa Hartman: Good morning, everyone. Thank you for joining us today to discuss EnerSys' third quarter fiscal 2024 results. On the call with me today are David Shaffer, EnerSys' President and Chief Executive Officer; and Andrea Funk, EnerSys Executive Vice President and Chief Financial Officer. Last evening, we published our third quarter results and filed our 10-Q with the SEC, which are available on our website. We also posted slides that we'll be referencing during the call. Slides are available on the Presentations page within the Investor Relations section of our website. As a reminder, we will be presenting certain forward-looking statements on this call that are subject to uncertainties and changes in circumstances. Our actual results may differ materially from these forward-looking statements for a number of reasons. These statements are made only as of today. For a list of forward-looking statements and factors which could affect our future results, please refer to our recent 10-Q filed with the SEC. In addition, we will be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance, free cash flow, adjusted diluted earnings per share and adjusted EBITDA, which excludes certain items. For an explanation of the difference between the GAAP and non-GAAP financial metrics, please see our company's Form 8-K, which includes our press release dated February 7, 2024. Now I'll turn the call over to EnerSys' President and CEO, Dave Shaffer.
David Shaffer: Thank you, Lisa, and good morning. We delivered solid third quarter earnings, including adjusted EPS, which was above the midpoint of our guidance range. We achieved impressive gross margins, as we continue to sustain our pricing position and benefited from increased IRA benefits. Sales were lower versus our strong prior year, as we continue to see demand pauses in our telecom and broadband end markets. We delivered exceptional free cash flow generation, which allows us to maintain our robust balance sheet, reduce our net leverage, providing ample dry powder for future growth investments, and uphold our consistent capital allocation discipline. Andy will give details on our third quarter fiscal '24 performance and outlook, but I will first provide a few highlights. Please turn to Slide 4. Revenue of $862 million, was broadly in line with our expectations, including our ability to maintain pricing. We saw some encouraging signals in order rates and our book-to-bill was approximately one. Order rates in the Americas were flat to down overall with slower demand in telecom and broadband, as well as some rebalancing in motive power on normalization of supply, partially offset by strength in specialty with robust demand in transportation and A&D. We saw favorable trends from our international markets with stronger order rates for specialty in EMEA and Energy Systems in Asia. Adjusted gross margin in the quarter improved by 760 basis points over prior year, to 30.7% due to IRA benefits, as well as solid price retention and mix improvements. Excluding the IRA benefits, adjusted gross margin was 23.9%, up 80 basis points year-over-year. Adjusted operating earnings of $130 million and adjusted EPS of $2.56, both represent significant increases over prior year. In Energy Systems, we saw continued strength in industrials and data center, particularly in the Americas, as the need for critical uninterrupted power solutions is fueling infrastructure upgrades, where we would normally see an increase in spending at the end of the year from telecom and broadband customers. Those expected spending months did not materialize, marking a deeper spending pause than we had expected when we started the quarter. This was in line with our revised guidance. We are working closely with network carriers on multiple projects and beginning to see some green shoots. We are optimistic that demand will strengthen in the back half of the calendar year, and remain very bullish on our small cell revenue and margin expansion opportunities. In motive power, we saw continued healthy demand but experienced a modest decline in the top line, compared to a very strong prior year. Maintenance-free sales were once again a highlight, reaching a record 23% of the total sales in the quarter. We are encouraged by the progress we are making in customer conversions, including our lithium solutions, and are tracking well to our long-term plan, for maintenance-free product sales. We remain bullish on this business as our customers are expanding their production capacity, to meet their increasing customer demand, driven by automation and electrification initiatives. We are seeing fuel cell conversions to batteries, and our own innovative product road map is driving growth opportunities for EnerSys. In specialty, we had near-record orders paced by our capacity limits. We are seeing strong market acceptance in fleets with higher vehicle electronic loads continuing to drive demand for higher-performing batteries. We are progressing well toward the aftermarket share targets, we laid out during our Investor Day. We are continuing our work to balance our production lines, for optimal output across our segments. We are advancing our leadership in aerospace with several space exploration projects in the pipeline. In our New Ventures line of business, we are progressing towards delivering our initial fast charge and storage systems, with enhanced energy storage, and dual charging capabilities. Our sales pipeline is growing, and we are very excited to see this new line of business beginning to materialize. Please turn to Slide 5. The team is executing to deliver on our strategic priorities. Let me share some highlights from the third quarter. Starting with Innovate. We continue to make significant strides on our innovation road map. We have many exciting technologies in our pipeline, but I will just name a few. Last week, we announced the commercial launch of our NexSys AIR wireless chargers for AGVs, enabling our customers to truly automate their operations by eliminating physical charger connections and increasing safety for their workforce. I am particularly excited about the diverse capabilities of this technology, which is compatible with our traditional flooded, TPPL and lithium batteries. This innovation is being enthusiastically received by our customers. In addition, our industry-leading lithium product offerings, are gaining traction with key customers. We were awarded a grant from the Defense Innovation Unit, DIU to prototype a high energy lithium 6T battery, leveraging our proven lithium technologies in space and our economies of scale to provide the Department of Defense with a high-quality domestic source of lithium cells. And last but not least, we are scheduled to begin trials of our 48-volt lithium batteries this quarter, to help telecom customers mitigate risk from grid instability. We continue to focus on optimizing the business. We are taking decisive actions to reduce costs. In Energy Systems, the exit of our residential renewables business, and closure of our Spokane production facility, are both substantially complete, and the scope of our restructuring actions has increased. We are proud that our team was able to complete these initiatives in a very short time frame. We now have an optimized organization and footprint in energy systems and are positioned well to capitalize on the growth opportunities ahead when our communication networks customers resume normal spending patterns. In our Missouri factory, we are maturing our operations processes. The additional lost volume from the deeper telecom and broadband spending pause, along with longer lead time than originally expected for equipment and tooling to execute flexibility in these factories, has created additional pressure, which we are diligently working on. These efforts will have long-term benefits for the company, enabling us to more swiftly rebalance production lines, to optimize both growth and cost reduction opportunities, when demand fluctuates between lines of business and accelerating. I am extremely pleased to say that we have received the first POs for our recently launched DPX, fault managed and Hyperboost power systems for 5G small cell and macro sites, respectively. We are encouraged with how quickly customer demos, have converted to orders for these innovative new products. In fast charge and storage, our team was able to integrate two energy storage systems into a single 1.2 megawatt hour system in as little as two months, demonstrating the modularity of this revolutionary system and our ability to deliver quickly on customer requests. We also continue to advance the planning efforts for our new lithium battery giga-factory in the U.S. We finalized our site selection, and we plan to announce more details about the location, state and local funding to support this investment next week. We are pursuing additional investment at the federal level with DOE funding decisions, expected in late summer. Board approval to move forward will be dependent on an accretive internal rate of return. We continue to believe that the long-term market dynamics for lithium products strongly support the strategic importance of owning our own domestic supply of lithium cells, and we expect to produce our own lithium batteries, at a lower cost than we can source externally solely for EnerSys consumption. Please turn to Slide 6. Along with our strategic framework, we remain highly focused on our sustainability goals. In January, we published our second task force on climate-related financial disclosure report, with additional climate modeling and related analysis, which prepares us, for expected future climate legislation. We recently approved our EcoVadis score, moving us into the top 14% of all companies retaining our Silver top 15% rating. This is a rigorous process respected and relied on, by our customers, to ensure their supply chains meet their sustainability requirements. I will now turn it over to Andy, to take you through our results and outlook in greater detail. Andy?
Andrea Funk: Thanks, Dave. Please turn to Slide 8. Third quarter net sales of $862 million were down from prior year, driven by a 7% decrease in volume, due primarily to temporary pauses and network investments, by our telecom and broadband customers and partially offset, by a 1% increase in price mix. During the quarter, we booked an IRA benefit of $59 million, as a reduction of cost of goods sold, including $29 million of retroactive credits attributable to our production in the first three calendar quarters of 2023 on expanded qualification of our domestic batteries. We achieved adjusted gross profit of $265 million, up $52 million. Excluding the IRA benefit, adjusted gross profit was $206 million, down $7 million on the lower sales volume, but up 80 basis points, as a percentage of revenue, compared to the prior year. Our adjusted operating earnings were $130 million in the quarter, a $45 million improvement over prior year, resulting in adjusted operating margin of 15.1%. Excluding the IRA benefits, we achieved adjusted operating earnings of $71 million, down $14 million versus prior year, due entirely to the telecom broadband temporary spending pauses with - an adjusted operating margin of 8.3%, 90 basis points lower year-on-year. Adjusted EBITDA was $144 million and adjusted EBITDA margin was 16.7%, an increase of $46 million and up 600 basis points, respectively, versus prior year. Please turn to Slide 9. In line with our updated guidance, adjusted EPS was $2.56 per share, an increase of 102% over prior year, including IRA benefits of $1.44 per share in the quarter. Adjusted EPS, excluding the IRA benefit, was $1.12, a 12% decrease over prior year's $1.27 adjusted EPS. In the third quarter, our effective tax rate was 3.2% on an as reported basis and 20% on an as adjusted basis, before the benefit of the IRA. Let me now provide details by segment. Please turn to Slide 10. In the third quarter, Energy Systems revenue declined 14% from prior year to $374 million, primarily driven by the lower volumes previously mentioned, partly offset by improvements in price mix. Services within Energy Systems continued to grow nicely with double-digit revenue growth in the Americas in the third quarter. Adjusted operating earnings of $14 million, were $12 million lower than prior year, and adjusted operating margin of 3.8%, decreased 230 basis points over the prior year. As Dave mentioned, we are working closely with many of our customers and projects, for the coming quarters, and we are prepared for strong demand to return, in this very important end market. We are continuing our disciplined cost reduction efforts in Energy Systems, and we anticipate generating a combined annual savings of approximately $27 million per year, on an ongoing basis, from our Energy Systems cost and infrastructure optimization initiatives, which we will fully realize next year, with one-time costs of approximately $30 million, of which the bulk has already been recorded. Please turn to Slide 11. Motive power revenues decreased 2% to $355 million on lower volumes, partially offset by the positive impact of acquisitions. We continue to see a return, to normal ordering patterns, with variation quarter-to-quarter this year and last, as labor and supply challenges are overcome and we continue to benefit from our customers' growing enthusiasm, over our proprietary maintenance-free offering. Motive power again reported strong adjusted operating earnings this quarter, contributing $53 million, up 12% over prior year. Adjusted operating margins were 14.8%, up 180 basis points over prior year. We remain bullish on our growth opportunities in this segment, due to the strong market appetite for automation and electrification, which our proprietary maintenance free and wireless charging solutions satisfy. Please turn to Slide 12. Specialty revenue increased 7% from prior year to $133 million, driven by a 6% increase in volume and a 1% positive impact from FX. Adjusted operating earnings of $7.5 million, while improving $2 million sequentially, were down $4 million from prior year, and adjusted operating margin of 5.7%, was down approximately 340 basis points. While we're beginning to recognize cost benefits from the closing of our Sylmar plant, they are not yet visible, as we continue to experience plant loading issues, from transitioning energy storage capacity, from telecom and broadband to transportation, which pressured our fixed cost absorption. We are laser-focused on optimizing the flexibility and performance of our operations and returning to full productivity levels. Given the strength in transportation and aerospace and defense end markets, combined with the enhanced capacity flexibility, and expansion we anticipate in the coming quarters, we are very optimistic about our growth opportunities in specialty. Please turn to Slide 13. Our balance sheet remains strong and positions us to invest in growth, and navigate the current economic environment. As of December 1, 2023, we had $333 million of cash and cash equivalents, and our net debt of $587 million represents a reduction of approximately $300 million from the prior year. Subsequent to the end of the quarter, we capitalized on favorable market conditions, to issue $300 million of senior notes at 6.625% due in 2032, using the majority of the proceeds to paydown term debt, resulting in overall net neutral interest expense. Our credit agreement leverage was 1.1 times EBITDA adding back our off-balance sheet asset securitization program, our leverage ratio was 1.3 times EBITDA, the lower target range of two to three times and an improvement of 0.4 times from the end of the second quarter of fiscal 2024. In the quarter, we achieved an adjusted free cash flow conversion rate of approximately 106%. We reduced inventory by $21 million versus Q2, achieving our lowest inventory balance in seven quarters, driven by a targeted reduction in specific raw material, and product categories while maintaining inventory reserves in energy systems, to be prepared when a speedy telecom broadband recovery occurs. CapEx was $23 million in the third quarter and $59 million on a year-to-date basis. Please turn to Slide 14. Our capital allocation strategy remains focused and disciplined around investing in organic growth, complemented by strategic M&A, maintaining a net leverage ratio, at the lower end of our two to three times adjusted EBITDA target range, in the current interest rate environment and returning capital to shareholders, through dividends and share buybacks. As part of our growth strategy, we are evaluating potential bolt-on acquisitions, which will be a strong strategic fit and, which will add value to our portfolio, as well as the investment in a domestic lithium plant. During the third quarter, we paid $9 million in dividends and repurchased $35 million in shares. We currently have $112 million remaining on our buyback authorization. Please turn to Slide 15. Based on proposed regulations issued by the U.S. Department of Treasury in December, we concluded that more of our battery sales than previously anticipated, qualified for the IRA tax credits. Now approximately 90% of our batteries produced in the United States. As a result, we expect our annual IRA benefit to be in the range of $120 million to $160 million through December 2032, when the program is scheduled to conclude. The phase out in the last three years of the program. As mentioned previously, we booked an IRA benefit of $59 million as a reduction of cost of goods sold during the quarter, including $29 million of retroactive credits. For further breakdown, please refer to our posted slides. Our eligibility for these benefits underscores EnerSys' critical role in supporting the energy transition in the United States. In keeping with the intent of the IRA legislation, we intend to use the proceeds to invest in the development and production of our energy dense battery solutions in the U.S. Please turn to Slide 16. We remain optimistic about the trajectory of our business, and are particularly pleased with our continued ability to maintain pricing. While we are seeing healthy demand trends in the majority of our end markets, we are managing our business prudently, to navigate the temporary spending process by our telecom and broadband customers. Based on this, we expect fiscal Q4, 2024 revenues to improve sequentially, but be down year-on-year versus a record fiscal Q4, 2023. Our fiscal fourth quarter 2024 guidance range is $1.98 to $2.08 adjusted diluted earnings per share, including the significant benefit of $0.80 to $0.90 per share from IRA benefits, but pressured by continued abnormal telco broadband spending pauses and incremental investments in fast charge and storage as we prepare for our sales launch in fiscal year '25. We anticipate realizing gross margins of 26% to 28%, including 350 to 410 basis points from the IRA benefit. Our CapEx expectation for the full year of fiscal 2024, is in the range of $80 million to $100 million, reduced from our prior range on equipment supplier delays. We continue to methodically execute on our strategic growth plans. We remain highly confident in EnerSys' positioned, as a global leader in electrification and energy storage applications with demand driven, by critical global megatrends. With our industry-leading system solutions and strong customer relationships, we are well positioned for growth in our diverse end markets. With this, let's open it up for questions. Operator?
Operator: Thank you [Operator Instructions]. Our first question is coming from Gregory Lewis with BTIG. Please proceed.
Gregory Lewis: Yes, thank you. Good morning, everybody. And thanks for taking my questions. A little hoarse here this morning. I guess my first question is, it was good to hear on the specialty. You kind of called out some maybe favorable trends in Asia and Europe. Could you talk a little bit more about that? I mean, obviously, everybody is watching the new seen mix messages out of parts of Asia. Kind of curious maybe what you're seeing and what's driving some of that?
David Shaffer: Well, let's just specialty and there's two pieces. It's the transportation side and it's the aerospace and defense side. So the - in the, specifically in the rest of world, I would say most of the opportunities are in the transportation area. And it just seems like there's been a level setting of some of the economic pressures we've been facing quarters prior, and things are improving there. In the Specialty segment, in the aerospace and defense side, both in European market and in the - especially in the U.S. market, we've seen a tremendous increase in activity, quoting activity and opportunities. As you can imagine, is related to a lot of the geopolitics and the issues going on around the world in the Ukraine and in the Middle East and so forth. So yes, there's a lot of positive momentum building. We've had some big wins, and in the space area of late. So yes, specialty has got some great trends. The challenge, Greg, as you know, has been in our ability in the Missouri factories to achieve the transportation revenue targets we're looking at. This is - and I alluded to this in my prepared remarks, I want to make sure it's clear that let's say, our five-year models and our long-term planning have always assumed a certain mix of products between our different business segments. And even though they're all TPPL, there the tooling and the equipment necessary to build our different SKUs can be very different. And that mix has changed dramatically as our telco broadband business has slowed down. So we're - the point we're trying to get to, I'd say, point B, is the expression we use, the endpoint is align assembly lines that are sort of ambivalent as to what products we're making, whether it's transportation. And our journey to get to Point B, has been a little challenging. As we came out of COVID, a lot of the tooling and equipment lead times we were seeing were in the 18-month, 24-month category. And we really expected going into this budgeting cycle that those lead times were coming down, and they really haven't. And it's been - we've been pulling our hair out a little bit with some of our suppliers, especially on the equipment and tooling side. So I don't know that we're going to be fully at point B until probably calendar year '25. Maybe as March, April time frame is where things are winding up right now. So in the meantime, that's just - that puts a lot of pressure on the specialty P&L. And - but we certainly are moving in that direction. So Greg, hopefully, that's enough color on the specialty side.
Gregory Lewis: Yes, no that was great. Thanks for that. And then I did want to talk a little more about the IRA benefit. I mean it's not finding money in your pocket, what it kind of is. And as we look out really for - through - I mean pretty much almost for the next decade, we're really going to be benefiting from that. How has - and I guess it might even be still too early to tell just we started realizing that last year. Has that done anything to change, how you're thinking about capital allocation? I mean, you mentioned the potential, or not the potential, the most likely path of investing in maybe some projects in the U.S. If you could kind of, just talk about maybe how that changes how you're thinking about capital allocation and maybe a little bit more color around, what those investments might look like?
David Shaffer: Sure. The explicit purpose of this benefit is to stimulate additional manufacturing of volume - high-volume density batteries in the United States. That's the whole purpose. And with EnerSys, indeed, that's what we intend to do with the proceeds. So whether that's a combination of investment in our TPPL factories. As you noted, we are still working very hard on the business plan, to manufacture our own lithium ion cells domestically. These are all factors, which are accelerated, or enabled by the additional funding. It de-pressure the balance sheet in terms of our leverage ratios. So there's a lot of positive impact. As you noted, it's got a terminal value. I mean it has a terminus state. So, we're on the shot clock in a sense. So we're trying to do as much of these business planning activities in parallel that, we can do. So in terms of site selection, in terms of lining up our technology partner in [Burcor], we've been doing as much as we can in parallel, working towards a point at, which we can make a final investment decision with our Board, as to whether to proceed, with the various capital investment plans, we're laying out, including the new lithium factory. So Andy?
Andrea Funk: Yes, I was just going to say. Greg, good morning, hope you're feeling okay. Just to add on to Dave's comments on general capital allocation that you brought up. We remain committed to the capital allocation approach that, we laid out at Investor Day, including staying within our targeted leverage range of two to three times EBITDA, and in this current interest rate environment, on the low end of that. Our primary focus, as we've said before, is on businesses that have a strategic fit, with our growth and transformation, such as areas like power electronics, data centers, lithium charging and lithium plant, looking at more, not as an acquisition, but as an internal investment. We're not looking at large transformational acquisitions that, would take us out of this target EBITDA range. Ideally, for us, an ideal acquisition, and of course, we've got a balance sheet to be flexible here, but would be something in the $100 million to $300 million range, with growth higher than GDP, accretive margins. We're not looking for a turnaround, a solid internal rate of return and most importantly, clearly answers the question why EnerSys. I hope that helps.
Gregory Lewis: Super helpful to everybody. Yes, this is great. Thank you. Have a great day.
David Shaffer: Thank you, Greg.
Operator: Thank you. One moment for our next question please. And it comes from the line of Noah Kaye with Oppenheimer and Company. Please proceed.
Noah Kaye: Good morning. Thanks for taking the questions. You characterized the telecom and broadband customer spending is abnormally low. And I was hoping, can you help us put a finer point on, how the revenue you're seeing now in telecom and broadband, compares to prior trough. And the level of revenue growth you're expecting, as we get into the September and December quarters, Dave, given your comments around expectations for that to return in the second half of calendar '24?
David Shaffer: Right. So Noah, it's good to hear your voice. Just as a level set, just - remember, we're about - our exposure to telco broadband globally is around 33% of revenue. Roughly, I don't think that's an exact number. But it just gives you a sense for how important this segment is to us. And we have two on the board. We have two telecom veterans. I grew up in the telecom piece of the business. Sean and Drew, obviously, have that. I don't think any of us remember seeing a situation where spending declined so rapidly and so abruptly across the segment. So it's been a very unique period of time, at least - in recent years, and we've been adjusting. And a lot of our initial focus, has been on revenue recovery in different areas. So we push or in data centers. We're outperforming in aerospace and defense. And the biggest piece, as I noted earlier, when we were talking to Greg is to try to rotate more of our TPPL production capacity in the transportation segment. So that's what we're trying to do on the revenue side. And then we've been taking - we noted in my prepared remarks and Andy's on the cost side. We closed Spokane. We've exited resi business. We've done a restructuring in that business. And so Andy, what would you say the annualized savings, are for those actions we've taken so far?
Andrea Funk: Yes, for those three actions, $25 million, we'll have about a $27 million savings...
David Shaffer: So, they're definitely material actions. And then in terms Noah about when we expect things to recover. So as I again said in the prepared remarks, and this is the first time for a lot of us, almost always in the DC power and battery world in December, we get a bunch of use it, or lose it kind of spending from our customers. We just didn't see it this year. It was very unique, very different. And then January got off to, I would say, a slow start in terms of when budgets are released. Now the good news is, we've seen budget releases at two of our three biggest telco customers, and we expect the budget release on the third big telco customer here in the coming weeks. So it's slow for sure in terms of recovery, but we are seeing opportunities. And Noah one of the things we haven't done even though we've tightened up some CapEx, we did the restructurings, we noted earlier, we haven't taken our foot off the gas at all on the new product development. So that's the lifeblood of this business. And we've had some big recent good news. We noted in the first orders for the Touch Safety PX [ph] and our first orders for our new Hyperboost programs. These are both small and macro cell enablers. So there's a lot of positive momentum. And when we talk to the customers, they keep telling us it's coming, its coming, it's coming. It's just a sense of financial management and budget releases and so forth. Andy, do you have anything to add to that?
Andrea Funk: Just a few other things to give you some data points, Noah, and good to hear your voice as well. A couple of things you talked about dimensioning our telco - these telco broadband spending pauses for the full year '24 probably cost us about $250 million of revenue. So maybe that is good to give you kind of the level set of the materiality. And in addition to the investment that Dave mentioned that, we're continuing in our product development. And our product development teams in ES are busy, as is our service group, which really gives us a good indication that there's - it's going to come back, and we think probably come back hard. We've also continued our investment in inventory. So, we mentioned that we had a reduction in inventory again, but we are not cutting back on a reserve for telco broadband inventory. There are long lead times there, and we believe when it comes back, it's going to come back fast. So we probably have $60 million, $65 million of inventory that is just held in anticipation of when this resumes.
Noah Kaye: Very helpful. Let's stick with this theme and thank you for mentioning the cost savings benefit for '25. Are you substantially done at this point with transformational savings efforts in Energy Systems? I guess the question is really, at what point do you kind of decide, hi, mid-single-digit margins in this business, are unacceptable at any point in the cycle and do something more substantial?
David Shaffer: Yes. I would think, it's fair to say that we're not done. I think that's a fair comment. And our goal, is and will always be, to have a minimum 10% return on sales on any business sector we're involved in. So that's the threshold. And as you know, this particular segment has gone through significant changes, between tariffs and supply chain issues. And then there's a level of volatility that the telco equipment and our investment in Alpha has exposed us to a greater level of volatility than possibly, we've seen historically on the battery side. But that said, we agree with you whole heartedly that 10% remains the target. And Sean is very committed to that.
Noah Kaye: Okay. If I could sneak one more in. Dave, I thought your comments on the wireless charging products sounded pretty bullish. Can you help us think about, wireless charging products impact on motive growth? Do these have a better price point versus traditional chargers? Is there a share gain opportunity here to be dimensioned. Just help us think through the growth impact?
David Shaffer: I think wireless is - Noah the way I think of it, is wireless is an enabler for AGVs. I think the whole - so in the AGV areas, you tend to have a little more higher engineering content systems tend to be a little bit more bespoke. So, the margins - and the margin opportunities are a little richer versus some of the products that are the high-volume long runners. So, we think that higher AGV mix is better for margins, and particularly the wireless charging is a great enabler there. So, we're excited about that space.
Andrea Funk: Yes. Noah, just a few things on motive power. Our motive power has just been a strong, reliable business for a long time, and we are really pleased with this ongoing profitability gains, by maintenance-free conversions, wireless charging, OpEx discipline. It's a little tough when you try to do some Q-on-Q and year-on-year comparisons, because of the recent years of supply chain and labor issues. In fact, if you look at WITS data, you're going to see a huge spike in orders as markets normalize, and then a big dip back down. But the shipment trends have been really, really consistent, and that's the same phenomenon we see in our business. Our customers continue to face some headwinds as is evidenced, by the significant backlogs that are still holding. In fact, as an example, one of our large value customers has 120-week lead times on the heart of the line forklifts. They had planned to add a second shift, to service this demand this quarter. That would have represented additional revenue for us this year. But due to continued manning and supply chain headwinds, they had to push out that additional capacity, including our orders into fiscal '25. But we have no doubt and remain very confident in the volume and profitability growth opportunities, because of electrification, automation, megatrends, of which our products are critical enablers. And AGVs with Interact data saying 20% CAGR over the next several years, fuel cell conversions, and as you mentioned, wireless charging really provides some excellent additions for opportunities for us.
David Shaffer: Noah, I mean - and Andy's dead on and just at the highest level, what we've really done is leaned into technology to try to improve our margins and our average selling prices and content in this business, and it's working. And to Andy's point, this from a volume standpoint, this has been reliable. But between these higher content, higher average selling prices, better margins, couple that with OpEx leverage. We just don't think we need a lot more OpEx. These are the areas. And again, Sean was very committed on the OpEx side in this business. And we know he's going to bring some of that to, his new assignment in Energy Systems. And so, I agree with everything Andy just said.
Noah Kaye: I appreciate the color. Thanks so much
David Shaffer: Thank you.
Andrea Funk: Thank you.
Operator: [Operator Instructions]. One moment for our next question. And it's from Blake Keating with William Blair. Please proceed.
Blake Keating: Hi, good morning. This is Blake on for Brian.
Andrea Funk: Good morning, Blake.
Blake Keating: Good morning. I just wanted to ask about maintenance free. So this is the - you guys have delivered strong double-digit growth for the second quarter in a row, almost 20%. And then that's on the back of almost 20% growth last year. Do you see this type of growth, adoption rate continuing? And then as kind of the second parter to that, as you mentioned in your prepared remarks, your margins have held up really well in motive. Is this kind of where you see margins continuing with this adoption rate to TPPL or is there going to be some giveback as pricing tailwinds normalize?
David Shaffer: I would say, Blake, that I don't see any major change in the trajectory of the maintenance-free conversions. And as a reminder, maintenance free for us is a combination of both our TPPL and our new lithium motive power products. We just went through the budget approval process with our Board I guess that was last week, Andy. And we've got some pretty aggressive targets laid out in these areas. And that's - obviously, our management incentive plans are tied to that budget in that cycle. So there's a lot of continued focus in these areas. And so, I don't see any major trends. And to your point, especially on the TPPL side, there's some opportunities for some accretive margins. So these trends are - should continue to go forward. Offsetting that will be regional pressures that, may occur in Europe or Asia. Those are the storms we weather every day. There may be commodity pressures or FX pressures, one never knows. But in terms of the neutralizing those macro impacts, this is a journey we're continuing to stay on. And then the OpEx leverage piece as well. I know in the budget, the motive team did not really layer in much additional OpEx at all going into fiscal year '25.
Andrea Funk: Did that answer the question?
Blake Keating: Yes. Sorry, I was on mute. And just lastly, you guys mentioned rebalancing the production lines in specialty, and that would take until fiscal '25. Can you quantify what kind of tailwind that could potentially be? Or any additional color you can give? Thank you.
David Shaffer: I think that we've absorbed tremendous amounts of manufacturing variances this year that we didn't have in our original budget. And a lot of that is associated with this transitioning from lines that, were sort of more bespoke for making just one type of battery. So certainly, as we get more flexibility in the business, this legitimately can add a significant material impact on our manufacturing variances. It's just - and we're ready just as much as the investors. We're ready for this period to get over. It's just been extremely - the lead times on the equipment and tooling has been really a gating factor in this transition. But as we move in that direction, Blake, there's certainly upside opportunities not only from a revenue growth perspective, but also just from purely the flexibility, of being able to move volume more efficiently, between the various factories.
Blake Keating: Understood. Appreciate the detail. I'll pass it along. Thank you.
David Shaffer: Thank you very much.
Andrea Funk: Thank you.
Operator: Thank you. And with that, we conclude the Q&A session. I will turn it back to Dave Shaffer for final comments.
David Shaffer: Well, I just want to thank everybody for joining us, and we'll speak again in 90 days. Thank you, and have a great rest of your week. Bye-bye.
Operator: And with that, ladies and gentlemen, thank you for participating, and you may now disconnect.